Operator: Thank you so much for holding everyone, welcome to today’s Mercury Computer Systems Incorporated Third Quarter 2012 conference call. Just a quick reminder today's call is being recorded. And at this time, for opening remarks and introductions, I would like to turn the call over to the Senior Vice President and Chief Financial Officer, Mr. Kevin Bisson. Mr. Bisson, Please go ahead. 
Kevin Bisson: Thank you. Good afternoon and thank you everyone for joining us. With me today is our President and Chief Executive Officer, Mark Aslett. If you have not received the copy of the earnings press release we issued earlier this afternoon, you can find it on our website at www.mc.com.
 We'd like to remind you that remarks that we make during this call about future expectations, trends and plans for the company and its business constitute forward-looking statements as that term is defined in the Private Securities Litigation Reform Act of 1995. You can identify these statements by the use of the words may, will, should, would, plans, expects, anticipates, continue, estimate, project, intend, believe and similar expressions.
 Such forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from those projected or anticipated. These risks include but are not limited to general economic and business conditions including unforeseen weakness in the company's markets, effects of continued geopolitical unrest and regional conflicts, competition, changes in technology and methods of marketing, delays in completing engineering and manufacturing programs, changes in customer order patterns, changes in product mix, continued success in technological advances and delivering technological innovations, continued funding of defense programs, the timing of such funding, changes in the US government's interpretation of federal procurement rules and regulations, market acceptance of the company's products, shortages in components, production delays due to performance quality issues with outsource components, inability to fully realize the expected benefits from acquisitions and divestitures or delays in realizing such benefits, challenges in integrating acquired businesses and achieving anticipated synergies and difficulties in retaining key customers.
 Additional information regarding forward-looking statements and risk factors is included in the company's periodic reports filed with the SEC. We caution listeners of today's conference call not to place undue reliance upon any forward-looking statements which speak only as of the date of this call. We undertake no obligation to update any forward-looking statements.
 I'd also like to mention that in addition to reporting financial results in accordance with generally accepted accounting principles or GAAP, during our call we will discuss several non-GAAP financial measures, specifically adjusted EBITDA and free cash flow.
 Adjusted EBITDA excludes interest income and expense, income taxes, depreciation, amortization of acquired intangible assets, restructuring expense, impairment of long-lived assets, acquisition costs and other related expenses, fair value adjustments from purchase accounting and stock-based compensation costs. Free cash flow excludes capital expenditures from cash flows from operating activities.
 A reconciliation of adjusted EBITDA to GAAP net income from continuing operations and our free cash flow to GAAP cash flows from operating activities are included in the press release we issued today
 With that, I will turn the call over to Mercury's President and CEO, Mark Aslett. Mark? 
Mark Aslett: Thanks Kevin. Good afternoon everyone and thank you for joining us. First, our agenda for today. I will begin with the third quarter business update and some comments on the outlook for Q4. Kevin will review the financials and guidance, and then we’ll open it up for your questions.
 As a reminder, the operating results we reported today include KOR Electronics and Paragon Dynamics, which are included in continuing operations beginning in Q3.
 Driven by strong organic growth in our defense bookings and as well as bookings and revenue from the KOR, PDI and LMX acquisitions over the last year, Mercury once again delivered solid operational and financial results in the quarter.
 Total revenue for Q3 was near the high end of our guidance range. GAAP earnings per share and adjusted EBITDA both came in substantially above the high end of guidance and operating cash flow more than doubled from the third quarter of last year.
 For the third quarter of FY’12, total defense bookings revenues both increased 41% year-over-year. Although this growth primarily reflects the addition of KOR, excluding KOR’s contribution, Q3 defense bookings were up 12% and defense revenues were up 18%, which is strong organic growth in this environment.
 Our book-to-bill in defense for the third quarter was north 0.72 and our total book-to-bill was north 0.74. Our defense backlog exceeding Q3 is up 39% year-over-year.
 As we expected, our commercial bookings and revenue continue to decline following the drop in our semiconductor business. We continue to forecast total commercial revenue of $14 million to $15 million for the full year FY’12 compared with approximately $48 million in FY’11. And as I said last quarter, we believe the major fall off in commercial will be behind us as we close FY’12 with any potential further decline expected to be a much small percentage of revenue going forward.
 As we discussed in our last earnings call, because of the political and budgetary constraints of defense spending combined with the DOD’s commitment to new missions and roles for the armed forces, the defense industry has entered a period of transition that we believe could last for a year or more. We anticipate is being this period -- of this being a period of reduced visibility and procurement charges. But we also believe that Mercury is well positioned to be successful in this environment.
 With lean defense budgets on the horizon, there will be new approaches in the way our nation addresses security threats as well as shifts in the geographic focus for both the military and the intelligence community. While planning for a smaller, leaner and more agile armed forces, the defense department is also committed to protecting and in some cases increasing the nation’s investments in key capabilities such as ISR and electronic warfare. Another goal is to export our defense technology through foreign military sales in order to make our allies more self-sufficient.
 The DOD is also strategically focused on projecting par to defend against adversaries who are charging our military’s access and freedom to operate by deploying electronic and cyber warfare, ballistic and cruise missiles, advanced air defenses, or antipersonnel explosive devices.
 Mercury is well aligned with these priorities from a programmatic perspective. We continue to feel very positive about how we position the business and about the underlying strengths in our new business pipeline both near term and longer term.
 Our major ongoing programs Aegis, Gorgon Stare and Patriot all appear to be well funded at this stage. Funding for Global Hawk Block 30 remains in place for the government’s FY’12 for now. However, the cancellation of Block 30 announced in January is creating more uncertainty on the associated bookings and revenue for this program looking forward.
 Gorgon Stare on the other hand is driving a great year for our Mercury Federal Systems Business. We’ve seen good success on Gorgon Stare Increment Two, and we’re expecting an additional booking in Q4 as well. We expect MFS bookings and revenue excluding PDI to be up substantially from FY’11, and we are expecting MFS to go from an operating loss to a significant operating profit for the year. The integration of PDI into MFS is strengthening MFS as a whole and we feel good about the future opportunities of this part of our business.
 In terms of our new programs, looking first at JCREW. As a result what appears to be a governed programmed re-planning, the potential exists for us not to receive the PO for long lead time materials during Q4 of FY’12, if we have previously anticipated. Despite this possibility, we still feel good about the program’s status overall given JCREW I1B1 remains the program of record for CID, coupled with the robust FY’13 funding request.
 Meanwhile the Navy Surface Electronic Warfare Improvement Program, or SEWIP is starting to become a major bookings and revenue driver for us. SEWIP was our largest single booking in Q3 and we currently expect to receive an even larger PO associated with the program in the fourth quarter. In addition, we expect to generate significant revenue in the fourth quarter as Block Two, long lead time shipments connects.
 Our position in SEWIP demonstrates the progress we’ve made in developing a strong service and system integration or SSI business within ACS. Our success in driving services led design wins is further evidence of this. As the SSI business generated more than half of our wins in Q3.
 Design wins for the third quarter totaled eight. Six in defense and two in commercial. This compares with a total of eleven wins, eight of them in defense in Q3 a year ago. The five year probable value of our Q3 design wins was approximately $21 million compared with $59 million in Q3 of last year.
 As with our Q3 bookings, the lower number this quarter reflects the slowdown in activity following this year’s CR. We currently anticipate a strong quarter in Q4 for defense design wins. Our design wins this quarter will focus on radar, electronic warfare, EYR and C4I. An example is our partnership with ITT Exelis to move imagery exploitation on board tactical UAVs. In addition, KOR just announced a partnership with Textron's AAI to provide the signal's intelligence payload capability.
 The positive revealed results from KOR, and our success in smoothly and rapidly integrating the business, reinforce our plans for M&A to play an important role for Mercury in the future. Both as a way to help smooth out potential lumpiness in revenue due to program timing and funding delays, as well as getting us into the mid-teens revenue growth range for the total company level on average and over time.
 We built out a pipeline of promising deals focused on opportunities like KOR and LNX along the sense of processing chain. Our strategy continues to focus on positioning Mercury as the key provider of end-to-end commercially developed sense of processing self-systems for the defense primes as well as to the intelligence community.
 We are primarily looking at smaller companies that are performing well, companies that have proven technology and capabilities, strong management and that are on the right programs and platforms. In ACS, given the growth that we anticipate in the EW market going forward, we mainly targeting the opportunities in the RF domain. In MFS, our priorities are around multi into exploitation capabilities to the intelligence community. We continue to be involved in exploratory discussion with numerous companies taking a highly disciplined approach as these discussions evolve.
 Our policy is not to discuss the timing of any possible future acquisitions in advance other than to say that we expect that executing on our M&A strategy should enable us to navigate the defense industry transition period that I mentioned earlier.
 Looking ahead to the fourth quarter, we are currently expecting a solid rebound in both bookings and design wins sequentially in year-over-year as we had in the fourth quarters of 2010 and 2011. In addition to our large booking for SEWIP and continued progress with Gorgon Stare, several service deals that were pushed to the right last quarter are expected to result in POs by the end of the fourth quarter. However, due to the potential for a sequester, the contracting environment is currently more challenging and possibly different than we’ve seen in the past. So this does add additional risk and uncertainties to the outlook with respect to program timing and funding.
 Direct Y’12 as a whole, we continue to expect that the acquisition of KOR will largely offset both the commercial revenue decline and the slower organic revenue growth in defense, resulting in total FY’12 defense revenue growth of approximately 30% year-over-year.
 Overall, at the total company level we currently expect approximately 7% to 9% year-over-year revenue growth for the full 2012 fiscal year with GAAP EPS exceeding our prior forecast.
 Rounding out another very strong year for Mercury, our balance sheet remains healthy and we’ve demonstrated our ability to supplement our organic growth with strategic, smart M&A.
 Longer term, we believe that our total company revenue growth including M&A will be in the mid-teens on average over time which should position Mercury as one of winners in navigating this new defense industry environment. Kevin will conclude his prepared remarks with our guidance for Q4. As we announced in our Q2 call, given our limited visibility right now, we do anticipate moving to providing only quarterly guidance for our financial year of ’13.
 With that, I would like to hand it over to Kevin. Kevin? 
Kevin Bisson: Thank you, Mark and good afternoon again everyone. As Mark noted in his remarks, Mercury generated solid financial performance in this year’s third quarter in spite of significant industry headwinds that we anticipated when we spoke at last quarter’s earnings call.
 Turning to the numbers, revenue for the third quarter was $67 million, was $7.1 million or 12% higher and revenue was $59.9 million for the third quarter of last year. This year’s third quarter revenue was within our stated guidance of $65 million to $68 million.
 GAAP earnings from continued operations of $0.17 per share were $0.03 per share lower than comparable EPS of $0.20 per share in last year’s third quarter. However, it should be noted that the increase number of shares issued in connection with the February 2011 follow-on stock offering reduced this quarter’s GAAP EPS by $0.02 per share compared with GAAP EPS reported for the third quarter of last year. Our third quarter GAAP EPS included $0.02 per share related to the amortization of acquired intangibles which is comparable to the impact in last year’s third quarter EPS. Third quarter EPS of $0.17 per share significantly exceeded the company’s stated guidance of $0.09 to $0.11 per share for the quarter was driven by better than expected gross margins and lower operating expenses.
 Adjusted EBITDA for the third quarter of fiscal 2012 of $12 million was $700,000 higher than adjusted EBITDA of $11.3 million for the third quarter of last year. Adjusted EBITDA for this year’s third quarter comfortably exceeded the company’s guidance of $9.1 million to $10.1 million. Adjusted EBITDA as a percentage of revenue of 18% for the third quarter was within our target business model of 17% to 18%.
 Now reviewing third quarter performance in more detail, total revenue for our largest operating segment, Advanced Computing Solutions or ACS was $60.4 million which was $2.3 million higher than the $58.1 million of ACS revenue generated in last year’s third quarter. The year-over-year increase was due primarily to a $13.9 million or 32% increase in ACS defense revenue driven by increased Aegis and Patriot program related revenue and the inclusion of KOR Electronics revenue.
 As Mark said, this year’s third quarter was the first quarter that included financial results from the recent acquisition of KOR including the financial results from Paragon Dynamics or PDI.
 This strong defense revenue growth was offset partially by the continuing year-over-year decline in our commercial business. Commercial revenue of $2.9 million in this year’s third quarter was $11.6 million lower than commercial revenue of $14.5 million in the third quarter of last year.
 Revenue from our Mercury Federal Systems or MFS operating segment for the third quarter was $8.8 million which was $5.4 million higher than the $3.5 million of MFS revenue for the third quarter of fiscal 2011. This growth was driven by higher revenue from the Gorgon Stare program and the inclusion of revenue from PDI. It should be noted that operating segment revenue for the third quarter of fiscal 2012 does not include adjustments to eliminate $2.2 million of intra-company revenue.
 Total defense revenue including ACS and MFS for the third quarter of $64.1 million was $18.7 million or 41% higher than defense revenue of $45.4 million for the third quarter of last year. Excluding the addition of total KOR revenue, third quarter defense revenue grew 18% year-over-year reflecting the strength of our defense business despite the difficulties within the current procurement environment. As mentioned earlier, strong revenue from the Aegis, Patriot and Gorgon Stare programs contributed significantly to this growth.
 From a bookings perspective, Mercury generated bookings of $49.6 million in the third quarter of fiscal 2012 which was $9.8 million higher than the $39.8 million of bookings recorded in the third quarter of last year. The inclusion of KOR bookings in this year’s third quarter and increased bookings tied to the Gorgon Stare and SEWIP programs were partially offset by a year-over-year decline in commercial bookings.
 Defense bookings for the third quarter of $46.2 million was $13.5 million or 41% higher than the $32.7 million of defense bookings in the third quarter of last year. Excluding the impact of the KOR acquisition, defense bookings increased 12% year-over-year which was fueled by the previously mentioned bookings increase related to the Gorgon Stare and SEWIP programs. The company’s double-digit increase in bookings between years excluding KOR reflect its emphasis on programs that are expected to thrive despite the macro challenges within the defense sector.
 Mercury’s total book-to-bill ratio for the third quarter of this fiscal year was 0.74 as compared to 0.67 for the third quarter of last year. Defense book-to-bill of 0.72 for this year’s third quarter was essentially flat with the third quarter of last year.
 Our company ended the third quarter with $105.2 million of total backlog which was $19.7 million or 23% higher than the $85.5 million of backlog in the third quarter of last year. Of the total ending backlog in the third quarter, 90% or $95.1 million is expected to be shipped within the next 12 months. $99.5 million or 95% of the ending third quarter backlog relates to defense, which is $27.6 million or 39% higher than last year’s defense backlog. This growth reflects continued defense program strength as we enter to the fourth quarter.
 From a bottom line perspective, GAAP earnings from continuing operations of $5.2 million was slightly below comparable earnings of $5.4 million in last year’s third quarter as higher sales volume related gross margin was more than offset by higher KOR related operating expenses. It should be noted however, that excluding KOR operating expenses for this year’s third quarter, operating expenses were lower than the third quarter of last year as the company reduced year-over-year discretionary expenses principally in SG&A in light of the uncertain defense procurement environment we expect moving forward.
 Despite the lower net earnings in this year’s third quarter compared with third quarter of last year, adjusted EBITDA of $12 million for the third quarter increased $700,000 compared to the third quarter of fiscal 2011. Higher effects of income taxes due to this year’s higher effective tax rate and amortization expense due to the KOR acquisition for both the year-over-year improvement and adjusted EBITDA.
 The company’s financial metrics on a nine months basis through March of 2012 were even more impressive. Total revenue of $184.1 million was $16.6 million or 10% higher than the $167.5 million of revenue generated in the first nine months of last year. More significantly defense revenue of $172.9 million was $46 million or 36% higher than comparable revenue from last year. Excluding KOR, defense revenue was up 28% through the first nine months of this year. Again, a testament to Mercury’s favorable program position within the defense space.
 The company converted its solid top line growth for the first nine months of this fiscal year to increase bottom line performance. Earnings from continuing operations of nearly $17 million or approximately 20% higher than the first nine months of last year. Similarly, adjusted EBITDA through the first three quarters of this fiscal year of $39.6 million was 29% higher than adjusted EBITDA in the same period last year. Adjusted EBITDA as a percentage of sales was 21.5% for the first nine months of fiscal 2012, well above our 17% to 18% target business model.
 Now, turning to the balance sheet. The company ended the third quarter with cash and investments of $114.8 million and no debt, which was $9.8 million higher than the $105 million of cash and investments at the end of this year’s second quarter. The increase in cash and investments for the third quarter was a result of $12.4 million of cash flow from operations generated in the quarter, driven by the GAAP earnings performance for the quarter and adding back non cash depreciation, amortization and stock compensation expense.
 Partially offsetting operating cash flow for the third quarter was $2.8 million of capital expenditures resulting in $9.6 million of free cash flow for the quarter. As we’ve mentioned in prior earnings calls, Mercury’s favorable liquidity position is supplemented by an untapped $35 million bank credit facility and a $500 million universal shelf registration. This position affords the company’s significant financial flexibility to pursue its growth strategy both organically and through potential M&A transactions.
 For the fourth quarter of fiscal 2012, we are targeting total revenue in the range of $60 million to $66 million. Similar to the third quarter, we expect the split in fourth quarter revenue to be 95% defense and 5% commercial. At the midpoint of our guided revenue range, we expect fourth quarter defense revenue to generate double-digit year-over-year growth for the quarter driven by increased revenue from the SEWIP and Gorgon Stare programs as well as the inclusion of KOR revenue.
 Within our stated revenue guidance, we are projecting gross margin to approximate 49% for the fourth quarter reflecting a program mix shift to more RF related revenue in the fourth quarter compared to previous quarters. Projected fourth quarter revenue also reflects the inclusion of another quarter of KOR revenue which carries approximately 40% gross margins.
 Operating expenses are anticipated to be largely flat with the third quarter as the company continues to carefully manage operating expenses in light of the defense industry challenges.
 From a bottom line perspective, we are targeting GAAP earnings from continuing operations of $0.04 to $0.10 per share based on an estimated weighted average share count of 30.3 million shares. Within this GAAP EPS range, we are projecting an approximate $0.02 per share impact from the amortization of acquired intangibles. Adjusted EBITDA is estimated to be between $7 million and $9.5 million for the fourth quarter of fiscal 2012.
 At current fourth quarter financial guidance, we are projecting full year fiscal 2012 revenues of $244 million to $250 million which represents an annual top line growth rate of 7% to 9%.
 Full year GAAP earnings per share are projected to be in the range of $0.60 to $0.66 per share. The midpoint is above the $0.59 to $0.61 per share guidance that we provided in the second quarter as we continued to focus on minimizing cost growth in this environment. We anticipate that full year adjusted EBITDA as a percentage of revenue will exceed our target business model of 17% to 18%.
 In summary, our third quarter financial performance exceeded our bottom line expectations as Mercury continued to enjoy significant year-over-year defense revenue growth, despite difficult macro trends. We are projecting fourth quarter financial performance to produce annual earnings above our previous guidance for the fiscal year.
 With that, we’ll be happy to take your questions. Operator, proceed with the Q&A session now please. 
Operator: [Operator Instructions]. And we’ll go first this afternoon to Mr. Peter Arment at Sterne Agee. 
Peter Arment: Mark, maybe just to highlight some of your bigger drivers, you did mention the SEWIP in the PO. I guess between Aegis and Patriot, SEWIP, Gorgon Stare, you’ve highlighted a couple of the big drivers going forward. How do we think about those in this budget environment? Could you talk about the funding levels? 
Mark Aslett: Yes. We feel pretty good about the programs that we mentioned. The big one this quarter as Kevin outlined were Patriot, Aegis and Gorgon Stare as well as various programs with General Atomics. We think we’re pretty well positioned with those going forward and they’re going to be significant drivers of continued performance in our defense business. 
Peter Arment: Okay. And then you did mention regarding JCREW. What’s the latest there? Are we just not expecting any long lead awards until officially we get into the government fiscal year ’13? 
Mark Aslett: Yes. It’s a little murky right now to be quite honest. I think we had been anticipating getting the PO for the long lead time materials in Q4. It’s now looking like that’s not going to happen due to a government or a potential government program re-planning. We don’t necessarily know what that means. However, I think we still feel pretty good about the program. I was down at Exelis kind of midpoint in the quarter and they still feel really good about the program itself in terms of its capabilities. We know it’s the program of record and the funding in the FY13 budget was pretty robust. So I think we’re just going to need to wait and see how things develop over the next quarter or so. 
Peter Arment: Okay. And what is the typical lead time though for you before you begin to ship? 
Mark Aslett: It depends upon the technology because we’re actually both on the RF side of things as well as on the processing. But it’s on the order of quarters. 
Peter Arment: Okay. So within a six month period? 
Mark Aslett: Yes. 
Peter Arment: Okay. And then just quickly on the fourth quarter, is it just the higher mix of the RF? Is that the reason that we could see EPS - a wider range on the EPS front that you’ve given us which is I guess $0.06 to $0.12 if you exclude the $0.02 of amortization? 
Mark Aslett: I think vis-à-vis what we’ve done in the past, I think we have widened slightly the guidance on the top line just based upon some of the slowdown in the activity that we’ve seen. So it’s largely just falling through, Peter. 
Peter Arment: Okay. And just one more on the - you mentioned the M&A and you targeted - you said that the RF category continues to be an area that you’re focused on. Is there something in particular there that you want to continue to build out externally there? It seems like you have some good internal capabilities already in the RF. 
Mark Aslett: We do, but we think that there’s still opportunity for us to continue to pick up more capability, more program access and more scale in that part of our business. It’s particularly important in the - as we see the growth in the electronic warfare and signals intelligence part of the market as well as the shift from radars moving from mechanically rotating type radars to ISAR type radars which have also got a high RF content. So I think we see the potential for upgrades and more opportunity on the RF side and it’s an area that we’re going to continue to focus on. 
Operator: We’ll go next now to Michael Lewis at Lazard Capital Markets. 
Michael Lewis: Two quick questions for Kevin and Mark a quick follow up from Peter’s question on JCREW. But Kevin, can you give us the EBIT results for ACS and MFS in Q3? And while you’re digging for that, you had $21 million five year value on design wins. Was that for the eight wins or is that for the defense’s six wins? Can you break that out for us? 
Mark Aslett: Yes. So the five year total value in total, $13 was in defense and $8 million was in commercial this quarter, Mike. 
Michael Lewis: Okay. And then Mark if I can follow up on Peter’s question about the long lead. I think the expectation out there in the investment community is a Q1 ’13 start for production and if you were to get, say the order early in your fiscal year Q1 ’13, would you be able to ship product by the end of that quarter? 
Mark Aslett: Yes. I don’t think that there’s an issue on our end, Mike. I think it’s going to come down to, when is the program going to start in light of what it appears to be a re-planning effort. But we don’t’ have any details, so it’s very hard for us to give you a perspective of when, how things are changing. We just don’t have that detail right now. 
Michael Lewis: Okay. Do you have any update on where the army still is positioning themselves? Do you think that they will add on to the program or are they still trying to define their end requirement? 
Mark Aslett: I think that our customer remains in discussion with the army. I think as you probably know that at some point in the future the army is going to pick up the CID activities from the Navy as the executive agent. When that occurs I don’t think anyone quite knows right now, but that is expected to occur. I think the army from what we can gather appears to be impressed with some of the capabilities on I1B1, but I think it’s just too early to posit a guess or hazard a guess as to if they’re going to pick it up and when. 
Michael Lewis: Got it. And Kevin, would you happen to have those EBIT numbers? 
Kevin Bisson: Yes, Mike. For the breakout of adjusted EBITDA, we reported $12 million. Of that, about $10.5 million is ACS and about $1.5 million is MFS. 
Operator: We‘ll go next now to Tyler Hojo at Sidoti & Company. 
Tyler Hojo: Just to go to the booking side of the equation here. You talked about some expectations in Q4 on a program level, but just curious. In aggregate, would you expect your book to bill to be north of one in Q4? 
Mark Aslett: I’ll look. So book to bill, yes we currently anticipate that book to bill will be above one for the quarter and clearly it will be above one in our defense business if things hold the way in which we currently anticipate. And that does not include the bookings that - any bookings from JCREW. 
Tyler Hojo: Which are now expected to slip, right? 
Mark Aslett: Right. 
Tyler Hojo: Okay, got it. And just in regards to SSI revenues, I’m not sure if you spoke to them but if you did I didn’t catch it. So could you maybe talk about how those tracked in the quarter and maybe come up with the expectation? 
Mark Aslett: Sure, Tyler. We have actually had a good quarter. SSI revenues were up 160% on the year-over-year basis. We did $7.2 million of revenue in our SSI business in Q3. 
Tyler Hojo: Okay. And what about expectations over the next, call it four quarters? 
Mark Aslett: Well, we’re in the one quarter at a time guidance business right now. 
Tyler Hojo: Okay, that’s fair. Okay. Well it’s nice to see the improvement there. And just kind of lastly, a week or so ago you announced what seemed like a pretty nice win with AAI, I guess related to the Shadow. Could you talk a little bit about maybe the outlook on that? 
Mark Aslett: Yes. So we’re pretty excited about it. KOR Electronics which is the division that’s based in Cypress, California is obviously very strong in the Durbin technology which is a pretty key capability required as part of modern electronic warfare applications. But based upon their expertise, they’ve also been working on putting together a next generation SIGINT capability. And so the announcement that we made was actually an alliance with Textron’s AAI business unit that obviously as you know produced the Shadow and we’re working to pull together a multi-mission tailored capability that’s plug and play in the first instance with the Shadow. And it’s all about shortening the time to actionable intelligence, being able to actually combine SIGINT information with imagery to be able to give you a better perspective on what’s going on.
 So we’re still in the engineering phase. The work that we’re doing initially is with PM-UAS which is the army’s executive agent or executive office for all unmanned aerial vehicle activities and the work that we’re doing with AAI is really around integrating that capability onto the Shadow. So -- and as you probably know, there are a lot of Shadows that are out there. So it’s hard to project at this point just how big that could be, but it’s a pretty exciting new capability we think. 
Tyler Hojo: Okay. And just for clarification, was that included in the five year probable value on the design win side? 
Mark Aslett: It actually was not. No. 
Operator: We’ll go next now to Mark Jordan at Noble Financial. 
Mark Jordan: Question relative to SEWIP. Could you talk about how consistent that program will be quarter on quarter and how variable it might occur? And is the rollout for that new platform going on to new combatants and or what is the plan relative to the retrofit of surface combatant fleet inventory? 
Mark Aslett: Sure. So I think in the first instance, Mark, it’s probably going to be relatively lumpy largely because right now the bookings and the revenue that we’re anticipating is largely to do with funding for long lead time materials. The LRIP doesn’t occur until FY13 and production in FY14. So that’s when we start to get some predictability in terms of the number of ships that’s going to be upgraded on an annual basis. When it hits production we’re anticipating something like 14 ships will be upgraded annually. So it’s pretty well funded. We’re obviously a part of block one as well as block two today. I think as we said on the call last quarter, I think the fact that Lockheed are partnering with Raytheon to compete for block three could bode well for us getting additional content on that program should they be done selected as part of that competition. So it was our top bookings program this quarter. We anticipate it being our top bookings program next quarter and we’re going to start to see some early revenues from it flowing shortly. 
Mark Jordan: Okay. Could you give us some range as to what is your content with SEWIP per ship? 
Mark Aslett: Not at this stage. 
Mark Jordan: Okay. With the JCREW program, I think in aggregate you quantified your potential full program exposure. Do you see that there is any change in terms of the aggregate program size or do you have any visibility on that? Or do you think there -- it’s logical to assume that where you have set a five year opportunity that the dollars are the same but you might be talking a longer period of time? 
Mark Aslett: From what we know right now, I think we feel pretty good about the numbers still. As you look at the FY13 budget, the aggregate number of units, what is in effect the first phase of LRIP looks to be very healthy in terms of both unit volume as well as translation into actual dollars. So we still feel good about the program itself in terms of the order of magnitude. I think the timing - or the question right now is the timing of when that program will move into that LRIP phase and that’s the thing that we need additional clarification on. 
Operator: We’ll go next now to Michael Ciarmoli at KeyBanc Capital Markets. 
Michael Ciarmoli: Mark, maybe just to stay on that topic more I’m thinking of it. Can JCREW actually start if we go into a continuing resolution on the fiscal ’13 budget which will probably be the case ahead of the election? Do you guys envision a scenario which gets further pushed out? 
Mark Aslett: Well, I think we believe the answer is yes because if you look at it from an LRIP perspective, the early LRIP funding was actually in the FY12 budget, not the FY13 budget. But we do anticipate I think, given everything that’s going on in Washington, another continuing resolution in our FY13. 
Michael Ciarmoli: Okay. And then if I were to just maybe parse through your comments in the relief about you’re targeting that mid-teens percentage growth on average. What are you baking in on JCREW when you’re looking at that long term on average growth? 
Mark Aslett: So I think what we said last quarter is that it did include some revenues associated with LRIP, but it obviously didn’t include the program going in full production which would have inflected that growth rate northwards from the kind of mid-teens number. 
Michael Ciarmoli: Okay. So then I can assume it’s more on the conservative side which is the LRIP in there then? 
Mark Aslett: That’s correct. 
Michael Ciarmoli: Okay. And then just on the - if my math is right and I’m looking at your fourth quarter here, you’ve obviously got the addition of KOR. It seems like from an organic standpoint, the defense revenue growth is going to really take a hit. The comps get I guess a little easier in terms of the commercial revenue declines. But is that just a function of the challenging environment right now? 
Mark Aslett: Yes, largely. We’re still expecting - looking at Q4, we’re still expecting growth in our defense business on an organic business. 
Michael Ciarmoli: Okay. And then the last one, what if - if sequestration does go into effect, how do you think that impacts your revenue streams? 
Mark Aslett: It’s very hard to predict, Mike. I think we’re going to try and pull together a budget scenario and we’re kind of in the middle of planning our FY13 right now. So it would be hard to give you an exact number. But I think you know the numbers as well as I do. If 125 goes down to something in the 470 range which is a $50 billion reduction which is going - sorry, $50 million reduction which equates approximately a 9% reduction. So at the highest level you can say well, it could be 9%. But we don’t know how that’s going to flow through from a programmatic perspective. So that’s what we’re going to try and model in this next quarter. Hard to tell. 
Operator: We’ll go next now to Brian Ruttenbur with CRT. 
Brian Ruttenbur: A couple of questions. First of all on assuming delays with JCREW, where can you cut your expenses to? Just to try and understand your model, how flexible are you on your SG&A expense, R&D expenses? Can you cut that by 10%, 20%, 30%? Where do you get to the boat on those? 
Mark Aslett: So we’ve been managing our expenses very, very carefully. I think the fact that JCREW could potentially move out on us based on what’s happening with this long lead time PO doesn’t necessarily require us to address our cost structure. That’s something that we would normally do as part of our annual budgeting cycle, but I wouldn’t connect the two, Brian. 
Brian Ruttenbur: Okay. And let’s just say that JCREW gets delayed indefinitely or more than two years. Your contingency plan on SG&A, R&D, is there room to cut? I’m trying to figure out how much is already built in there because you had to have some build up in advance of JCREW thinking that you’re going to be getting JCREW in the next six months or so, right? 
Mark Aslett: Partially, although we still believe that we can grow at a significant rate on the top line and still be in line with our target business model absent JCREW and that doesn’t require us to take a significant expense. 
Brian Ruttenbur: Okay. And a simple one here, tax rate. In the fourth quarter, where is it going to be? It was 31% which was lower than I anticipated this quarter. 
Kevin Bisson: We’re projecting for the full year about 34%. So the tax rate is going to be a tad higher in the fourth quarter.
 Okay. And your acquisitions that you’re talking about, are those going to be in the defense, your KOR defense electronics area? Or do you want to diversify like some other defense contractors out there looking to diversify? Or you want to stay in your KOR? 
Mark Aslett: Our M&A strategy is largely focused as we have said in the past building our sensor processing chain capabilities. So we’re going to stick with that strategy. 
Operator: [Operator Instructions]. We go next to Howard Rubel at Jefferies. 
Howard Rubel: Mark, you talked a little bit about some of the challenges and there’s probably some opportunities. Any way for you to bracket FY13? 
Mark Aslett: Not at this point. We’re still in the midst of our planning process. 
Howard Rubel: Can you address maybe sort of the bidding proposal opportunities you’ve been seeing? How might you be able to characterize them year-on-year? Clearly your recent acquisition looks like it’s opened up the aperture a bit, Mark. 
Mark Aslett: Yes. But I think the capabilities that KOR brings to the table, we definitely see opportunities in our customer base for that Durbin capability and we know just based on some of the activity level around EW that’s certainly an area that’s going to see increased investment. From a design win activity perspective this quarter, things were a little light compared to what we’ve seen historically, but we’re seeing very strong activity in Q4 with some really nice potential design wins. So we are expecting a pretty strong rebound here in the fourth quarter just based upon what we’re looking at right now. 
Howard Rubel: So Kevin you’re allowing Mark to go on the road every day in order to win the business to push it forward? 
Mark Aslett: He’s pushing me out the door. 
Howard Rubel: Well, absolutely. You’ve got to make sure you’re the chief salesman and he’s allowing your expense account to go travel where you need to get the next opportunity, right? 
Kevin Bisson: And a backpack. 
Mark Aslett: It’s true. I’m going to hit the road. 
Howard Rubel: No, but in all seriousness, can you talk about the potential aperture that you’ve seen in terms of market size? Clearly there’s a few things that are new and different and you highlighted some of them in the release. 
Mark Aslett: So I think we feel pretty good about obviously the programs that we’re involved with. Aegis is going to continue. SEWIP we built more potential, particularly with block three if Raytheon and Lockheed are successful. We’re pursuing with our customer Northrop Grumman the upgrades of the F-16 ISAR radars which we think could be an important opportunity for us. We know that just based on what is happening with mids, that the Patriot is probably going to be the chosen system for the US Army upgrades going forward and then Gorgon Stare continues to go from strength to strength and that’s even before we start to look at penetrating our customer base with the releasing capabilities that we have coming from KOR. So we feel pretty good right now in terms of just the things that we’re pursuing, the design win opportunities. The challenge a little bit is that nothing happens quickly in defense and unfortunately things are moving even more slowly in this environment than what we’ve seen in the past. We believe largely due to the potential now for a sequester as we get closer towards the back end of the year. 
Howard Rubel: Just two final questions. One is on JCREW as you look at it. How would you characterize the performance of the system relative to customer expectations? 
Mark Aslett: I think very positive. I think it’s - the capabilities that Exelis has pulled together clearly addresses some of the shortfall capabilities of prior generations and that’s what it was set out to do. So I think it’s working pretty well. 
Howard Rubel: And then last, I would have never bet you would have gotten another commercial opportunity. What happened there and is there further light at the end of the tunnel that sort of stabilizes the business? 
Mark Aslett: So I don’t think our commercial business is going to be much of a growth driver. I think it’s going to bob along around at the levels that we’re currently seeing in FY12. Could be up a little bit, could be down a little bit. But it’s not really where we’re focusing our time, energies and efforts because I think the growth is largely going to continue to come from the defense business. 
Operator: And gentlemen, it appears we have no further questions this afternoon. Mr. Aslett, I’d like to hand the conference back to you for any closing comments, sir. 
Mark Aslett: Okay. Well, thanks very much for joining the call today. We look forward to speaking to you again next quarter. Thank you. 
Operator: Thank you, sir. Again ladies and gentlemen, that does conclude today’s conference call. We’d like to thank you for joining us and wish you all a great afternoon. Goodbye.